Operator: Good afternoon, ladies and gentlemen, and welcome to the Linamar Q3 2024 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Tuesday, November 12, 2024. I would now like to turn the conference over to Linda Hasenfratz, Executive Chair. Please go ahead.
Linda Hasenfratz: Thanks so much. Good afternoon, everyone, and welcome to our third quarter conference call. Before we begin, I'll draw your attention to the disclaimer that is currently being broadcast. Joining me this afternoon, as usual, are members of our executive team: Jim Jarrell, our CEO; Dale Schneider, our CFO, both of whom will be addressing the call formally. Also available for questions are Mark Stoddart, Kevin Hallahan as well as some members of our corporate IR, marketing, finance, and legal team. I'm going to start us off with some highlights and strategic updates, but I'll say first that you're going to notice a new format for our slides tonight. We've been doing some work over the last six months around streamlining shareholder communications and improving shareholder engagement. To that end, I'd like to thank those of you who have participated in our outreach program to gain insights on the needs of our shareholders. It was extremely valuable. Today you're going to see some of the fruit of that work. We have significantly streamlined and shortened the formal presentation in an effort to get only key messages and information regarding the quarter's results, and then we're going to proceed to questions. I'm going to start us off with a quick reminder of the key value drivers that make Linamar such a great investment. And I think this quarter was a great example of all of them. First of all, Linamar has a long track record of consistent, sustainable results driving out of our diverse business. We've grown top and bottom line at Linamar 80% over the last 15 years with almost every one of those growth years being double-digit growth, both top and bottom line. How do we do that? We have a diversified synergistic business model that balances our mobility and industrial businesses, which are highly complementary and run on somewhat different cycles, which does allow us to be always driving growth almost every single year for the last 15. The second key point is our flexibility to mitigate risk. Our equipment is programmable, flexible equipment that can be used on a large variety of types of products. In fact, more than 85% of our equipment is flexible and can be easily reprogrammed for different jobs. We've purposefully chosen to focus on products in our mobility business regardless of what type of propulsion vehicle it might be used in that utilize similar processing and therefore, use the same equipment. We have parts for internal combustion vehicle programs that are manufactured using the exact same types of processes and equipment as parts we make for battery electric or hydroelectric vehicle programs. We have a strong portfolio of products for every type of vehicle propulsion and propulsion-agnostic systems, giving us maximum flexibility to pivot whichever direction that the market grows. Flexible equipment suitable for a wide variety of parts in every type of vehicle propulsion and for propulsion-agnostic systems as well. It's how we can control our CapEx, as you have seen this quarter. Third, we have always run a prudent conservative balance sheet. We target keeping net debt-to-EBITDA under 1.5x. This allows us maximum flexibility to invest when opportunities come up, whether that be acquisitions or new programs we're investing in. A conservative balance sheet also mitigates risk in the event of a slower economic cycle and I'm very pleased to see us hitting that 1x EBITDA as of this quarter. And finally, we're focused on growth to drive our EPS and share price, of course, but also returning cash to shareholders through our dividend program as well as common share repurchases. More on that capital allocation framework in a moment. Okay. Turning to highlights for the quarter. I would identify these as our most relevant accomplishments. First of all, we had another excellent quarter in terms of financial performance with sales and earnings both up over last year in down markets. Both our Mobility and Industrial segments saw double-digit operating earnings growth, in fact. Second, I think the star of the show this quarter is our excellent level of free cash flow, putting us well on our way to an outstanding level of free cash flow for the full year. Third, we saw great market share growth in both segments, so key to offsetting down markets. MacDon combine draper market share growth was outstanding, well exceeding a declining market. And our Mobility business also saw double-digit content per vehicle growth in our most important market of North America. And finally, we're announcing a new capital allocation strategy framework, which also triggers initiating an NCIB to return cash to shareholders as we have done this quarter. Turning to the numbers. We saw sales hit $2.64 billion, up 8.3% over last year. Sales were up 24% in our Industrial business, largely on MacDon market share growth and our Bourgault acquisition, well offsetting significant market declines on the ag side. Sales were up more modestly in the Mobility segment at 2% with our Structures Group acquisition, content per vehicle growth and launches offsetting some pretty big declines in the market. North America was down 5% and Europe down 6% on the Mobility side, both really important markets for us. Net earnings were $144.6 million or 5.5% of sales. That is up 6.1% over last year. EPS was $2.35, up 6.3% over Q3 2023. I would summarize our overall bottom line results this quarter as being most impacted by our strong sales and earnings growth at MacDon, of course, our 2023 and 2024 acquisitions, cost improvements in a variety of areas as well as launching business in the Mobility segment, which was offset by the steep market declines in both mobility and the access market. Cash flow, as noted, was very strong at $270 million, an excellent increase over levels seen over the past couple of years. We are actively reallocating capital from programs with less volume or restricted launches and trimming our capital bill as a result. That's that flexible equipment at work. We expect to continue to generate significant free cash flow in Q4 for a strongly positive result for the year. I mentioned a moment ago, we've created a new capital allocation framework, which you can see illustrated here. This framework is also a direct result of the shareholder engagement work done this year already that we -- I already noted. We heard a clear message that our shareholders are both looking for clarity around capital allocation and specifically are looking for share repurchases when our share price is undervalued. The following are our priorities when it comes to what to do with free cash flow we are generating. Our top priority is to maintain that strong, prudent balance sheet, one of our key value drivers at Linamar. Next priority is growth and investment in both organic and inorganic growth and innovation opportunities. Investing in growth is how we create top and bottom line growth at Linamar, which is critical to driving shareholder value. Beyond these 2 priorities, we will use excess liquidity towards 3 areas: First, an NCIB when the share price undervaluation is clear. Secondly, to grow our dividend payments as we have historically done on a regular basis. And finally, towards continued debt reduction. To that end, given we have done an excellent job this year of reducing debt levels to get our net debt-to-EBITDA back into the 1x range, we've decided to initiate a normal course issuer bid. The program has been approved by the TSX and will give us the ability to repurchase up to 4 million shares, which is 10% of our public float. With that, I'll turn it over to our CEO, Jim Jarrell, to review industry and operations updates in more detail. Over to you, Jim.
Jim Jarrell: Great. Thanks, Linda. I'll start with an overview of each key industry we operate in and then our own sales performance related to them. First, a look at the access or AWP market, which is coming down off its post-pandemic historical high in '23. On a full year basis, you can see the market is predicted to be down this year in the low to mid-single digits in core markets of North America and Europe and down more significantly in the Asia Pacific region. Though non-residential construction, the primary driver of the access market remains robust, the push-out of major infrastructure and mega projects in the U.S. has many of the equipment rental companies delaying or pulling back on CapEx spending after a robust period of re-fleeting that happened during 2023. What's encouraging, however, is that this is viewed as a temporary pause with modest market growth returning in 2025 and not the start of a more protracted cycle. Though this is certainly impacting demand at Skyjack, you can see that we are still outperforming the market. Skyjack's total sales units nine month year-to-date on a global basis are down 5.9%, while the industry as a whole is down 12%. So Skyjack is growing share in a very tough environment. Looking at Skyjack's business operations, we're seeing a stabilization of operating patterns following our global manufacturing expansion efforts. Mexico production is achieving improved schedule attainment and previously outsourced fabrications and assemblies are now coming in-house. This will result in improved costs, quality control, and logistics efficiencies. Our China factory is now fulfilling all scissor product demand for the whole Asian region and we will look to localize boom production there in the next 12 to 18 months. Again, that's our in-market for the market strategy. On the product innovation side, our newest compact scissor, the Micro continues to add customer-focused features and is up for a best new product award at the upcoming AWP Industry Conference, which we're very proud of. Next, we'll turn to the ag industry volumes. Large ag represented by combine and high horsepower factory sales deliveries are expected to decline in the 15% to 20% range across the board. On a global basis, full year 2024 industry volumes are forecast to decline 17%. The ag market is also coming off historical highs that saw peak cycle levels of volume in 2023. Against this backdrop, however, our 3 core brands of MacDon, Salford, and Bourgault are outperforming the general market trends year-to-date. Together, MacDon, Salford, and Bourgault are seeing their overall unit sales volume increase 6.1% over 2023 levels. What I would call strong performance of the group in a very challenging market is a testament to our short-line OEM product strategy. It illustrates that farmers are still willing to invest in equipment that offers a technology or productivity advantage for their businesses. 2024 sales levels have been carried by a strong order book despite the industry overall downturn. Next year, however, expect a more meaningful impact as the market headwinds related to lower crop commodity pricing levels and elevated equipment dealer inventory persists and the industry continues its cycle. Within the ag group from a strategy and operations standpoint, there's a great deal of activity and progress. The integration across the three core brands is going extremely well. The group is leveraging their collective assets to gain efficiencies and increase market reach on both the new product and aftersales support. On the technology development side, we have several new and exciting offerings coming to the market to ensure we maintain our market-leading position. First is intelligent control, part of our overall tech stack, which is a wireless interface software for enhanced implement to OEM tractor controls. Next, Bourgault unveiled its new 7-Plex family of ParaLink Hoe Drills last week at a dealer convention in Phoenix. This 3545 model comes in widths of up to 100 feet, which offers maximum field productivity without compromising on-road transferability due to its 7-plex folding design. And lastly, Salford portfolio expansion in the crop nutrition segment continues now with the release of the newest chassis mount spinner spreader, field application coverage width goes up to 120 feet, offering productivity advantages to both producers and commercial operators. Across our entire Linamar ag group, there's a high level of commitment to investment in leading technologies that deliver higher ROI to our customers. And next, an update on our Mobility segment. First, I'll walk through the expert industry forecast for global vehicle production from each of the key regions we operate. As you can see on the left, for full year 2024, North America, Asia-Pacific, and globally overall, markets are slightly flat to down versus '23. For Europe, the market decline is a bit more pronounced, down 5%. Currently, the expert's forecast for calendar year '25 is mostly flat across the board with only modest year-over-year changes when compared to '24. For Linamar, in the quarter, our content per vehicle on a global basis reached $80. That is nearly a 6% increase quarter-over-quarter when compared to '23 in a market that saw a 4.4% industry production decrease overall. The growth in the global market share compared to last year is driving mainly out of North America where we saw higher volumes from launching programs as well as incremental sales from the '23 Linamar Structures Group acquisitions. In the Mobility segment, from an operations standpoint, I'm very pleased with how the integrations of the Linamar Structures Group I just mentioned have come together. The Dura-Shiloh facilities are completely integrated and the Mobex operations will be finalized by year end. We're particularly proud of what the Linamar team was able to achieve with Mobex within just 1 year. We acquired a business with a great portfolio, but was distressed both financially and operationally. To date, any customer concerns over delivery or quality issues have been resolved and conversations have turned to pursuit of new business. In terms of new business opportunities, no surprise but the transitional period of ICE to EV is creating some pause in the marketplace. EV launches are delayed and resulting in current platforms being extended out. In Europe, I'll note that the industry overall is facing several challenges, including decreased OEM volume, distress in the supply chain and a need for more permanent restructuring. As we've been in the past, Linamar is well-positioned for this and remains on call to help our customers with business takeover opportunities that can be a win-win for both of us. Next, I'll turn it over to Dale, our CFO, for more financial review.
Dale Schneider: Thank you, Jim. Good afternoon, everyone. Linda covered at a high level the excellent financial performance in the quarter for both sales and earnings growing over last year when our markets were down. Therefore, I'll jump directly into the business segment review, starting with the Industrial segment. Industrial sales increased by 24.3% or $164.7 million to $841.3 million in Q3. The sales increase for the quarter was primarily due to the strong agricultural sales driven by market share growth in the MacDon drapers despite a market that was significantly down. The additional sales from the Bourgault acquisition, the favorable changes in FX rates since last year and these were partially offset by lower demand on access equipment. Normalized industrial operating earnings for Q3 increased by $18.3 million or 15% over last year to $140.2 million. The primary drivers impacting Industrial earnings were the increased contribution from the increased MacDon volumes, the increased contribution from the acquisition of Bourgault and the favorable changes in FX rates, which were partially offset by the impact of the lower market demand for access equipment. Turning to Mobility. Sales increased by $36.8 million or 2.1% over Q3 last year to $1.8 billion. The sales increase in the third quarter was driven by the additional sales from our 2023 Linamar Structures acquisition, the increased volumes on launching programs and the favorable changes in FX rates since Q3 2023. These are partially offset by lower volumes on certain mature programs and on certain other programs that are naturally winding down to end of life. Q3 normalized operating earnings for Mobility were up 12.6% over last year to $88.4 million. In the quarter, Mobility earnings were impacted by the increased contributions from the higher volumes and launching programs, the added contribution related to the 2023 Structures acquisitions and the favorable FX rate changes since last year. These were partially offset by the lower volumes on the mature programs and ending programs. Q3 was another quarter of Mobility margin expansion compared to the same period last year in 2023 despite the market declines in each of the regions that we operate in. Starting with our overall cash position, which came in at $824.4 million on September 30, an increase of $171.1 million compared to December '23. The third quarter generated $370.4 million in cash from operating activities, which was used primarily to fund the Q3 CapEx and debt repayments. Turning to leverage. Net debt to EBITDA did increase to 1.07x in the quarter from a year ago, mainly due to the 3 acquisitions that we completed in the last 12 months, but down from the high of 1.24x after the acquisition of Bourgault. Based on the current estimates as of today, we are expecting 2024 to maintain our strong balance sheet and we're confident that leverage will decline to 1x or under in the next six months. The amount available credit on our credit facilities was $602.4 million at the end of the quarter. As a result, our available liquidity at the end of Q3 remained strong at $1.4 billion. As a result, we currently believe we have sufficient liquidity to satisfy our financial obligations during the rest of this year. Looking towards the next quarter, Industrial segments will see sales decline and OE decline in the double digits when compared to Q4 2023. Sales are declining on market -- on down markets expected in both ag and access equipment, which is more than offsetting the added sales from the acquisition of Bourgault this year. OE is down double digits as a result of the decremental impact from the change in sales in addition to a product mix, which is currently predicted to be unfavorable in Q4. Mobility segment will also see sales decline with a double-digit decline in OE. The sales decline is being driven by the sharp declines in OEM production schedules from the OEM's plans to extend shutdown and plans to reduce vehicle inventories this year. The OE will be down double digits from our contribution impact on the production cuts from the OEMs. Unfortunately, in the short-term, we cannot adjust our fixed costs to help mitigate the negative contribution on the revenue declines. As a result, the expectation on the consolidated results for Q4 is to have a decline in sales and a double-digit decline in OE. For your reference, depending on product mix, Linamar will typically see decremental impact to be in the range of 27% to 33% on sales declines at the operating earnings level. Even with the reductions in the markets, free cash flow will remain strong in the fourth quarter. Despite the tough market conditions in Q4, the full year 2024 will still see sales and earnings growth in both segments and therefore a consolidated level as well. Industrial will see double-digit sales growth regardless of the market issues we will still see growth in OE for the full year as well. Similarly, Mobility will have sales growth for 2024, but OE growth will outpace the sales growth as OE will grow at double digits. As expected, Linamar will still see free cash flow -- strong free cash flow generation for the full year as a result of the cash -- strong cash flow -- excuse me, as a result of the strong cash generation in Q3, which will continue into Q4. Turning to next year, Industrial will see significant market declines in ags and access markets will be up modestly which will drive an overall net decline in both sales and OE over '24 levels, but margins will still remain in a normal range of 14% to 18% for this segment. For Mobility, industrial forecasters are predicting continued market softness in 2025. Notwithstanding the market softness, sales will continue to grow and OE will grow faster at a double-digit rate. We will see launching programs adding between $500 million and $700 million that will help mitigate the market declines. As a result, we are still expecting to see market expansion, which will push Mobility back into its normal range of 7% to 10%. Overall, for 2025, sales will be flat, but EPS will grow in double digits. Free cash flow generation will remain strong which will ensure our balance sheet will also remain strong. Thank you and I'd now like to open up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tamy Chen from BMO Capital Markets.
Tamy Chen: I want to start with the Mobility segment here. So I understand the OEM production schedules are quite volatile right now. I just want to better understand this sequential decremental margin. It is higher than I would have thought. You've had very strong margin expansion in the first half of this year and kind of looking like Q4, your auto margin is not much better than last year Q4. So can you just talk a bit about that? Like I would have thought OEM recoveries and whatnot would have structurally increased your Mobility margin a bit even with the volatile production schedules.
Linda Hasenfratz: Yes. I mean I think the biggest issue is exactly what Dale was describing. I mean we're seeing some pretty big cuts to volumes and you just can't react that quickly when it comes to adjusting fixed costs and overhead. So this is something we sort of long guided to that if you see a rapid drop in sales, you can expect that 25% of that is going to fall to the bottom line. So if sales drop 10%, you can expect 25% reduction in your net earnings and in the 30% to 33% range at the OE level. And that's just a straight reflection. It's just an easy calculation of what are all your fixed costs, whether it be overheads or amortization or other areas of fixed costs that are obviously going to stay the same and only your variable costs are going to reduce. So it's a pretty standard formula we've actually used for years to describe what happens when sales comes down quickly. Obviously, with time, that readjusts, right, because you reallocate capital, so your amortization normalizes, you make adjustments on the overhead side if the situation is protracted or you shift people around someplace else. So it's completely different when sales are coming down than when they're going up.
Tamy Chen: And how do we think about the reiterated guidance for Mobility margin next year moving back to the normal range? Are we assuming that provided the production schedules do not change materially for next year that you'll get there? Or is it that you thought just this visibility on the types of programs that are maturing next year, you can see that, that is the margin that will get you to the normal range. It's just -- it's a larger jump right into next year. So I just wanted to understand the bridge.
Linda Hasenfratz: Yes. I mean, yes, our current expectation is based on what we're currently seeing for market volumes next year. So that obviously could change if volumes are higher or for that matter, lower. But our current expectation is to see earnings growth in the Mobility segment despite more modest top line growth and that's really driving out of solid operational efficiencies that we're seeing play out in our Mobility business which we saw it already this quarter and will in Q4 around labor costs, material costs, utility costs, all improving, thanks to the efforts of our global team. And of course, rising volumes on launches, notwithstanding that they're lower than what we thought they were going to be, is still -- does still make an improvement.
Jim Jarrell: Yes. I think overall, we see the market in Mobility is probably flat to a little bit up next year, Tamy. So we sort of know where the waterline is, right? So now we can sort of gear ourselves around that, which, of course, means we can cost reduce, which we're actively engaged in. Certainly, the flexibility of the capital that we can redeploy is another key issue and really look at the rightsizing up to that level in the Mobility side. So I think all those play out for improved earnings next year.
Tamy Chen: And switching to Industrial for a second here. I'm just wondering how -- I think you just concluded or you might still be in it the critical ag time period. Can you comment on how that's been going? Is it in line with your expectations, softer? And it sounded like as you talked about the ag business next year, I got the sense that the -- your degree of outperformance versus the industry, like should we think that that narrows versus how well you've done year-to-date versus the industry?
Jim Jarrell: Yes. I think the ag business for the rest of the year is certainly showing some negative trend. And then next year is sort of a question mark, right? I mean when you -- when we listen into some of the OEM customers, C&H, Ag, Deere, you know, their outlook is really a bit uncertain. They don't want to comment on it. But I would say we typically are outpacing the market you saw in my slides earlier, the market size were 6.1 sort of percent up and the market is 17% down. That's on unit sales. So I think we will definitely outpace the market and that's just driving through dealer expansion and the synergies that we're making. And the pre-buys that are going on right now are to sort of our expectations and that's something we really watch in the next 30 days through the end of November. I guess we're further along than I thought. So that's 15 days.
Tamy Chen: Can I squeeze one more in? I'm curious, why do you believe the access industry is a temporary pause? What are you seeing there that makes you confident it's not a more pronounced downturn?
Jim Jarrell: Yes. Yes. I guess, I mean, when we started 2024, I think there was a real high level of optimism, right, in regards to companies -- rental companies look for improving on their fleet age. So I think the interest rates and things like that, the mega projects really -- the delays on the interest rates coming down further and the mega projects getting delayed really created a little bit more of a delay in the rental company take rates, right? And so we think that with some of the changes going on, there'll be a little bit of an uptick next year.
Linda Hasenfratz: I think there's also hope that with the election behind us helping to settle some uncertainties and see some optimism surfacing in the U.S. that as well as interest rates coming down that we're going to see some of those mega projects getting back on track and driving some moderate market growth next year.
Jim Jarrell: Yes. I think also the volumes are still good, right? I mean it's just not hitting the expectations that everybody thought based off interest rates, mega projects. And for us, ourselves, I mean, we've seen some cancellations, but more so postponements, which means that they're just getting ready to buy. So those signals feel positive. So again, our view, I think, for next year is a little bit of an uptick from where we're sitting today.
Operator: Your next question comes from the line of Michael Glen from Raymond James.
Michael Glen: I just want to circle back to MacDon. I'm just trying to understand the sales cycle for MacDon because it sounds like the business had a really strong Q3, but we've been reading about these excess combine inventories for a few quarters right now. So do the sales lag the combine cycle? I'm just trying to understand what's happening there, if that's kind of how we should think about how the business moves.
Jim Jarrell: No, Michael. In the past, if you look at combine sales in the headers, it's kind of a 1:1 ratio. But really, what we've been seeing is there's concern where we've been seeing farm income coming down, but it's still overall at a fairly healthy pace. But there's some concerns with farmers. So they're not looking at buying the big ticket items, right? They're not looking at spending the $800,000 for a new combine. But they're definitely where they see productivity improvements and a return on their investment, they're willing to buy, you know, new headers and that's what we've been seeing with MacDon. Just again, the superior product that they have, better yield, able to run the product faster. The farmers are getting return for their investment and it's not a significant investment like we're seeing buying a brand-new combine. So that's one of the factors and it's kind of a unique dynamic that we've been seeing in this situation. I think the other thing is we watch aggressively the dealer inventories, right? And we can monitor sort of the presales with inventory levels and then commodity pricing as well. And so -- and then listen, obviously, to the OEMs. I mean, they're typically the ones that give you the lead on where things will be going.
Linda Hasenfratz: And I think in terms of cyclicality on our ag business, I mean, it's interesting how -- as we've acquired the various businesses, it's actually helped to kind of even things out to some extent for ag sales. Like for MacDon, Q2 is typically quite a strong quarter this year. Notably, they did have quite a strong Q3. For Salford, strongest quarter is Q1. Bourgault is Q1, dive back in Q2, and then a good Q3. So in the end, Q1, 2, and 3 end up not terribly dissimilar, but I will say that Q4 is the seasonal low point for all businesses, unfortunately. So it does definitely come off in Q4.
Michael Glen: And for MacDon as well, the orders that you're shipping now, would that really be for orders placed like 9 to 12 months ago?
Jim Jarrell: Yes. I mean some of them would be from 9 to 12 months ago, for sure.
Michael Glen: And then on dealer -- you mentioned dealer inventories. Do you have any -- how do dealer inventories for ag products -- your ag product right now sit relative to historical? Is it higher than you would typically like to see it?
Dale Schneider: Yes, Michael, I would say that kind of across the three businesses, maybe Salford's product line is a little bit kind of elevated. But again, with MacDon and probably the same with Bourgault is that I would say that they're shipping more closely to more of a normal inventory, maybe even shipping below, what? But from the dealer standpoint that we have to watch, it's their overall inventory levels and that includes all of the brands that they carry, including their mainline brands and how they hold that against their overall credit lines for what they have to floor plan. That's the thing that we kind of watch.
Michael Glen: And then just one more for me. Can you just provide an update on the Welland facility? Is that now complete? Is all the equipment in? Just looking to see the timeline associated with Welland and what we should expect to see out of that plant over the coming year?
Jim Jarrell: I mean the equipment is not all in. I mean we're in discussions with our customer on where the activity will be long-term and commercial agreements.
Michael Glen: Will Welland contribute to sales next year?
Linda Hasenfratz: Unlikely. I mean, as we've discussed before, the product for Welland is an electrified vehicle. So it shouldn't be surprising that the program's future has been impacted. So as Jim has talked about, we're working through the issues with our customers around delays and what may or may not end up happening around the program. And also, as we've talked about before, when it comes to some of these more risky EV programs, we're definitely taking a risk-sharing approach with our customers. So we need to work through the issue, but I can tell you that we don't expect to see a large negative financial -- impact from the facility as a result of what's happening around that launch.
Operator: Your next question comes from the line of Krista Friesen from CIBC.
Krista Friesen: Apologies if you spoke to this earlier, but can you just speak to the results of the ag division in Q3, if you were to strip out Bourgault and just not looking at kind of the incremental sales bump you got there?
Linda Hasenfratz: Yes. I mean, obviously, Bourgault, it was a key factor driving the performance. But at the same time, MacDon had a very strong quarter as well. So they had solid growth over prior year. So they were driving some great growth in the segment as well.
Krista Friesen: Okay, great. And then maybe just on the 2025 outlook for Industrial, the modest decline versus, I believe, previously, I mean, between Skyjack and ag, it was either modest growth or flat. So is the change in guidance being driven by -- is that being driven really by ag or moderating expectations from Skyjack as well?
Jim Jarrell: I mean, Skyjack, we're thinking, has a little bit of an uptick and ag, we're predicting a little bit of down.
Krista Friesen: And then just the last one for me. On the consolidated guidance for the EPS growth, is that assuming a [indiscernible] execution of the NCIB?
Linda Hasenfratz: That's not considered.
Operator: Your next question comes from the line of Jonathan Goldman from Scotiabank.
Jonathan Goldman: The first one and I know this is a broad question, so you can do whatever you want with it. But do you have any high-level thoughts on how potential tariffs might impact your business or the auto supply chain generally?
Linda Hasenfratz: Yes. I mean, obviously, tariffs have a negative impact on the supply chain. I mean the supply chain in North America is highly integrated. Things cross the border on average 7x before they land in a vehicle. So if we're going to slap tariffs on each border crossing, that's going to create a lot of cost when it comes to vehicles. So I think that the result of the election last week is clear that Americans are looking for a focus on the economy, on inflation and on jobs. And adding tariffs might help on the job front, but it's going to have a huge negative impact on inflation and Americans can't afford higher costs than they're already seeing. So in my opinion, it's up to all of us to make a case to the new administration that North American cooperation and collaboration to optimize our assets and strength in all three countries will make us more globally competitive. And when you think about the fact that 80% of vehicle markets are actually outside of North America, wouldn't we all be better off focusing on that market than trying to add costs and reduce efficiencies within North America.
Jim Jarrell: My view on this, Jonathan, would be that I think the focus is going to be on Asia, specifically China in regards to tariffs. And I think that's where most folks are headed or around the world. So I think that's from our side where we think most of the impact would be. And Jonathan, during the negotiations of the original USMCA, the Detroit Three leadership brought that up to the administration in regards to what Linda said about parts traveling across the border numerous times. And there was a lot to put more back into the United States, but the administration understood and I think that's still fresh in their minds in regards to how integrated the supply base is here in North America and how difficult it would be for the Detroit Three to have it all in the United States.
Jonathan Goldman: Those are really interesting points. And then, I guess, my second one, how are you thinking about balancing capital allocation priorities next year? And I guess, specifically, what circumstances would cause you to lean to exercising more of the NCIB?
Linda Hasenfratz: Yes. I mean we laid out the capital allocation framework pretty clearly, right? So balance sheet is top priority. Growth is the next priority and then comes NCIB and dividends. So obviously, we think that there's room for an NCIB because we've just initiated one. At the same time, there's a lot of opportunities out there. I mean, notwithstanding the negative news of markets softening, I think one of the most important things for you guys to walk away with today is the knowledge that there's huge distress in the supply base, which is going to create significant takeover opportunities for us. In fact, we're actively quoting hundreds of millions of dollars of work right now from suppliers that are distressed and actively winning that business. So I see that as huge upside for us as well in terms of growth. And growth is always going to be the priority. I mean if we've got an opportunity to grow, whether it be new business or potentially an acquisition, that is going to be the priority for us for sure.
Operator: [Operator Instructions] Your next question comes from the line of Brian Morrison from TD Cowen.
Brian Morrison: I just have a couple of follow-up questions. And first, a comment, the presentation, it's a welcome change. It's a much-improved presentation. My first question has to do with the margin decrements for Q4. If I recall correctly, I think they're typically on average around 20%. And I'm just wondering, is the reason you're giving 27% to 33% because of the seasonality of the business in Q4?
Linda Hasenfratz: No. I would say, Brian, if you go back and I know you've been around a while as well, we have always talked about a 2.5x increment that if sales are down 10%, expect earnings to be down 25%. So we have typically talked about that 25% at the net level, which for sure is going to be closer to 30% or so at the operating earnings level. So I think that it is pretty consistent with what we've typically guided to for rapid declines in sales.
Brian Morrison: And then I guess a little bit more. People are going to focus on the NCIB. Clearly, Q4 results aren't going to hit the ball out of the park here. And I'm wondering if you can comment how active you'll be? And if you won't comment, can you maybe give us a target leverage number that you're aiming towards by the end of the year?
Linda Hasenfratz: For the NCIB?
Brian Morrison: Yes. Will you be active with the NCIB?
Linda Hasenfratz: Is that the question?
Jim Jarrell: Yes, it was.
Linda Hasenfratz: Yes, 100%. I mean we've got it approved and three days from now, we can start buying and we're going to.
Brian Morrison: And do you have a target leverage number you can share with us? I mean, obviously, you throw off a tremendous amount of free cash flow every year.
Linda Hasenfratz: Yes. I mean, as I mentioned at the outset, our goal is to have -- to see net debt to EBITDA in the 1x to 1.5x range. So we're definitely in that zone right now, which is great and it was a rapid delevering from our purchase of Bourgault. So that's where we like to sit.
Operator: There are no further questions at this time. I will now turn it back to Linda Hasenfratz for closing remarks. Please continue.
Linda Hasenfratz: Okay. Great. Thank you so much. So I'm going to conclude the same way we started the call with summarizing our key accomplishments for the quarter. First, excellent financial performance, double-digit OE growth in both segments. Second, excellent free cash flow in the quarter, excellent market share growth in both segments, and a new capital allocation strategy framework, and NCIB initiated. So a great quarter overall. Thanks very much, everybody, and have a great evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.